Operator: Good morning, ladies and gentlemen. Thank you for standing by, and welcome to the Westlake Corporation Fourth Quarter and Full Year 2021 Earnings Conference Call. During the presentation, all participants will be in a listen-only mode. After the speakers’ remarks, you will be invited to participate in a question-and-answer session. As a reminder, ladies and gentlemen, this conference is being recorded today, February 22, 2022. I would now like to turn the call over to your host, Jeff Holy, Westlake Vice President and Treasurer. Sir, you may begin.
Jeff Holy: Thank you. Good morning, everyone, and welcome to the Westlake Corporation conference call to discuss our results for the fourth quarter and full year of 2021. I’m joined today by Albert Chao, our President and CEO; Steve Bender, our Executive Vice President and Chief Financial Officer; Roger Kearns, our Executive Vice President and Chief Operating Officer, and other members of our management team. We have included an earnings presentation, which we’ll reference during our call today, which can be found in the Investor Relations section of our website. To begin today’s call, I would like to cover several changes at Westlake we’ve recently announced. Last week, we issued a press release announcing our name change to Westlake Corporation, which we believe better represents the breadth of products we produce and the industries we serve, including housing and construction, automotive and consumer lifestyle, packaging and healthcare. In conjunction with our name change, we also resegmented our business for financial reporting purposes. Our two newly established reporting segments, the Housing and Infrastructure Products segment and the Performance and Essential Materials segment replaced the former Olefins and Vinyls segments. We will begin with discussing our new Housing and Infrastructure Products segment that includes Westlake Royal Building Products, Westlake Pipe & Fittings, Westlake Global Compounds and Westlake Dimex. Our Performance and Essential Materials segment includes Westlake North American Vinyls, Westlake North American Chlor-alkali & Derivatives, Westlake European and Asian Chlorovinyls, Westlake Olefins, Westlake Polyethylene and Westlake Epoxy. You can find additional information on our resegmentation on slide 3 of today’s presentation. Today’s conference call will begin with Albert, who will open with a few comments regarding Westlake’s performance. Steve will then discuss our financial and operating results, including the results of our resegmented business. Roger will then discuss the current perspective and competitiveness of our two businesses. Finally, Albert will add a few concluding comments, and we’ll open the call up to questions. Today, management is going to discuss certain topics that will contain forward-looking information that is based on management’s beliefs as well as assumptions made by and information currently available to management. These forward-looking statements suggest predictions or expectations and thus are subject to risks or uncertainties. These risks and uncertainties are discussed in Westlake’s Form 10-K for the year ended December 31, 2020, and other SEC filings. We encourage you to learn more about these factors that could lead our actual results to differ by reviewing these SEC filings, which are also available on our Investor Relations website. This morning, Westlake issued a press release with details of our fourth quarter and full year results. This document is available in the Press Release section of our website at westlake.com. A replay of today’s call will be available beginning today, two hours following the conclusion of this call. That replay may be accessed by dialing the following numbers. Domestic callers should dial (855) 859-2056. International callers may access the replay at (404) 537-3406. The access code for both numbers is 8356311. Please note that information reported on this call speaks only as of today, February 22, 2022, and therefore, you are advised that time-sensitive information may no longer be accurate as of the time of any replay. I would finally advise you that this conference call is being broadcast live through an Internet webcast system that can be accessed on our web page at westlake.com. Now, I would like to turn the call over to Albert Chao. Albert?
Albert Chao: Thank you, Jeff. Good morning, everyone. We appreciate you joining us to discuss our record quarterly and annual results. In 2021 was a very exciting year for Westlake as we celebrated the 35th anniversary of our founding 1986, reported record financial results and transform the business. Westlake businesses benefited from the strong economic expansion and favorable macro things as we bounded from the economic downturn in 2020. And we announced four transformational acquisitions that have significantly expanded and diversified our business. For the full year of 2021, we reported a number of financial records, including record net income of over $2 billion or $15.58 per share and record EBITDA of $3.7 billion, on record sales of $11.8 billion. The dedication of the Westlake team was evident in 2021, as we were able to deliver these record results in spite of numerous disruptions such as Winter Storm Uri, Hurricane Ida, COVID-19 and ongoing global supply chain dislocations. Over the past six months, we’ve invested $3.8 billion to expand and diversify our business in Housing and Infrastructure Products and in Performance and Essential Materials markets. These investments include acquisitions of Boral, North America’s Building Products businesses, which, when combined with our existing building products platform, provide our residential customers with a comprehensive portfolio of leading brands and high-value products and housing solutions that enhance the everyday lives of countless individuals. Dimex, a producer of consumer products made from post-industrial-recycled PVC and polyethylene. LASCO Fittings, which complements our existing Pipe & Fittings business, which is one of the nation’s largest pipe and fittings companies. And Hexion’s epoxy business, a leading global producer of epoxy resins used in high-performance materials, composites and coatings. These materials are essential to the lightweighting of products, including wind turbines, electric and other fuel efficient vehicles and airplanes, reducing their carbon intensity and creating more sustainable products. These acquisitions with the attractive financial attributes and market-leading positions strategically fit with Westlake’s leading positions in Housing and Infrastructure Products, adding PVC, polyethylene, caustic soda and chlorine, expanding the depth and breadth of our business and creating a larger and stronger platform for future earnings growth. We will continue to look for opportunities to expand our business while driving value for our shareholders. While Steve will provide greater detail on the results of our strategic realignment and associated resegmentation, I do want to provide some insight behind these investments. As our business profile has evolved over the last decade, accelerated by the significant acquisitions of the past year, we have grown and transformed our business into a more diversified and end product oriented mix. We believe our name change from Westlake Chemical Corporation to Westlake Corporation, better reflects Westlake’s broader lines of businesses. The new segmentation will provide the market with better clarity into our businesses and the exceptional value each segment creates and delivers to our shareholders. The fourth quarter of 2021 continued to benefit from the strong demand drivers across our product portfolio that we experienced in the first nine months of the year. Key markets such as housing, repair and remodeling, new home construction, flexible food, industrial and consumer packaging have remained strong, and our results were driven by broad-based pricing gains. The continuation of the market momentum in construction activity, especially North America housing, along with our leading product positions and brands drove demand for our PVC and building products. And our sales volumes significantly improved as we capitalized on the strong demand dynamics. Our longstanding belief in delivering sustainable value also encompasses our commitment to environmental and social responsibility, which we outlined on slide 4 of our presentation. We have established a goal to reduce our CO2 intensity 20% by 2030 from our 2016 baseline and have a plan to achieve this reduction. We have a disciplined strategy to decarbonize our assets while growing EBITDA in our attractive end markets as well as delivering sustainable feasibility focused products to our customers. I would now like to turn our call over to Steve to provide more detail on our financial results for the fourth quarter and full year 2021.
Steve Bender: Thank you, Albert, and good morning, everyone. The market trends, which began in the second half of 2020, reflecting the very healthy housing construction and repair and remodeling markets paired with strong demand in food, industrial and consumer packaging continued throughout 2021, driving a record performance from broad-based pricing gains in both segments, along with partial year volume gains from the businesses we acquired in the fourth quarter. This quarter, we reported record results for Westlake including net income of $644 million, income from operations of $873 million, and EBITDA of $1.1 billion on sales of $3.5 billion. Fourth quarter’s $531 million increase year-over-year in net income is a result of the strong market conditions for our materials and products, resulting in solid margins across our portfolio. The strength in both segments this quarter drove records in sales, net income and EBITDA, despite what is typically a seasonally slower period. While I will discuss our resegment results in detail in just a moment, both our Housing and Infrastructure Products and our Performance and Essential Materials segment had strong earnings anchored by robust demand in their key markets. We achieved broad-based favorable pricing across our entire product portfolio. For the full year of 2021, we reported record net income of $2 billion and EBITDA of $3.7 billion on sales of $11.8 billion. Strong housing construction activity and increased government infrastructure spending, combined with strong demand for packaging, construction, medical, automotive and industrial end markets drove a favorable pricing environment throughout the year. These positive dynamics more than offset the headwinds we experienced with weather disruptions, COVID-19, supply chain dislocations and inflationary impacts on our cost. The 2021 EBITDA impact of the unplanned weather outages was approximately $215 million. Our utilization of the FIFO method of accounting resulted in an immaterial difference compared to what earnings would have been reported on the LIFO method. I’d now like to discuss the performance of our two segments as compared to prior year periods. Let me begin with slide 6 of our presentation where we detail our Housing and Infrastructure Products segment. Our housing products business continued to benefit from strong repair and remodeling activity and new construction in residential America. Our housing and fittings business also benefited in 2021 from the increase in construction activity and the tight supply conditions for PVC pipe. The recently passed $1 trillion infrastructure bill should provide further demand tailwinds for many years and the construction activity from this bill is expected to provide very good long-term demand. The strength we have seen in residential housing has driven demand for high-margin offerings in siding, roofing, trim, decorative stone, windows, pipe, fittings and wire and cable compound products throughout 2021, and this has continued into 2022. As noted by industry associations and consultants, including the National Association of Homebuilders and Harvard’s Joint Center for Housing Studies, who publishes the leading indicators of repair and remodeling index, market conditions for remodeling remains strong, and the U.S. Census data reports new housing starts continuing to increase year-over-year, resulting in backlog of projects and a long-term demand strength driven by future infrastructure spending. The fourth quarter is typically a seasonally slower quarter for Housing and Infrastructure Products, yet for the fourth quarter of 2021, Housing and Infrastructure Products segment had EBITDA of $162 million, an increase of $63 million from the prior year period on $1 billion of sales. Housing product sales were $843 million in the fourth quarter, reflecting the strength in siding, trim, shutters, roofing and window products, our post-recycled products as well as our pipe and fittings and PVC compounds products servicing the residential markets. Infrastructure Products sales for the fourth quarter were $204 million and our nonresidential pipes and fittings and PVC compounds business. These products serve a variety of sectors, including agriculture, municipal water services, healthcare, transportation industries, among others. Housing and Infrastructure Products EBITDA for the full year of 2021 was $534 million, an increase of $146 million versus prior year results. These solid results were driven by robust residential construction, remodeling, infrastructure and industrial demand. Now, I’ll move on to discuss the results of our performance in the Essential Materials segment, which can also be seen on page 9 of our presentation. Westlake is the world’s leader in chlorovinyls markets. This leading position, combined with strong market fundamentals for PVC, polyethylene and caustic soda, enabled us to deliver record results the quarter. For the fourth quarter of 2021, which is also typically a seasonally slower period, performance in Essential Materials segment delivered EBITDA of $997 million, an increase of $683 million from the prior year period. Performance Materials, which represents PVC and polyethylene had sales of $1.7 billion in the fourth quarter. And Essential Materials inclusive of caustic soda, styrene and chlorinated derivatives had sales of $796 million, which increased $711 million and $316 million, respectively, when compared to the prior year period due to improved pricing and strong integrated margins. The solid demand for PVC was anchored by robust year-over-year global growth in PVC end-use markets, including construction and home remodeling, which was evident in our Housing and Infrastructure Products results. These factors drove record PVC sales prices in the segment and strong integrated margins throughout 2021. Polyethylene benefited from the continuing strong demand in key flexible food, industrial and consumer packaging markets, driven by price gains, while volumes declined due to supply constraints attributable to weather events. Additionally, with increasing global industrial activity throughout the year, we saw increasing demand for caustic soda, leading to improved pricing in the second half of 2021. Performance and Essential Materials EBITDA for the full year of 2021 was $3.2 billion, an increase of $2.3 billion versus prior year results, reflecting strong margins across our business. For the full year of 2021, net cash provided by operating activities was $2.4 billion. At year-end, cash and cash equivalents was $1.9 billion and the long-term debt was $5.2 billion. Capital expenditures in 2021 were $658 million. Turning your attention to 2022, let me address some of your modeling questions and provide some guidance for the year ahead. The series of disciplined acquisitions announced in 2021, combined with our leading positions in our business and favorable market outlook position us to continue to drive meaningful growth and value in ‘22 and beyond. We expect our capital expenditures to be between $750 million and $850 million, which would support our operations include our recent -- including our recent acquisitions, lower cost and drive efficiencies, including projects to debottleneck VCM, EDC and PVC in several sites and increase our investment in the LACC joint venture to 50%. For the full year of 2022, we expect our effective tax rate to be approximately 23%. We also expect cash interest expense to be approximately $170 million. We ended the year 2021 with higher raw material and energy costs, which have persisted into 2022. Based on our current view of demand and prices, we expect our Housing and Infrastructure Products segment to increase revenue in 2022 by 50% to 60% from the reported revenues of $3.1 billion in 2021. This increase is driven by the continuing strong demand for products and additions of the product portfolio from our recent acquisitions. Now, I’d like to turn the call over to Roger to provide a current perspective and competitive positions of our business. Roger?
Roger Kearns: Thanks, Steve, and hello, everyone. Over the past 35 years, Westlake has built a robust platform for growth based on several key components. We believe these give us resilience going forward. First off, we have a globally advantaged ethane feedstock for our ethylene units and enjoy low-cost natural gas that powers our chlor-alkali facilities and this is compared to the rest of the world’s high prices of oil and power and the resulting cost of production. As we see oil prices rise, this advantage solidifies. Second, we have significant scale. As Steve mentioned, we are the largest chlorovinyl producer in the world with a global manufacturing footprint. Our recently acquired epoxy business and our low-density polyethylene business have global leadership positions. Our recent acquisitions in our Housing and Infrastructure Products segment give us significant scale in our North American markets. And thirdly, we’re highly graded. Our vertical integration starts with cost advantaged ethylene as a key building block for both our polyethylene and our vinyl product lines and chlorine that supports our PVC, epoxy and downstream businesses. Our integration from feedstocks through finished building products keeps our manufacturing costs low, giving us a very competitive cost position. These three components established a strong foundation for competitiveness across all of our businesses. Now, we’ve built on this foundation with high-value brands in the housing and building products markets. We focus on delivering innovative product solutions to our customers that drives value added in the commercial relationships that we’ve built. With the continued strong demand for housing, paired with our broad portfolio of housing products, we’re in a solid position to continue to grow our business and our earnings in this sector of the economy with these advantaged branded product positions. Recently, we launched our new Westlake branded building products, including Westlake Royal Building Products and Westlake Pipes & Fittings. The market reception has been very strong. We’re quite excited about the initial brand awareness of our products and the interest we have seen just at the recent International Builder Show in Orlando. The broad suite of products in our Housing and Infrastructure segment will continued to benefit from multiple factors, including the government spending on the infrastructure, long-term growth attributable to favorable demographics and recent underbuilding of new homes, which is driving continued growth in the U.S. housing market. The repair and remodeling spend remains very positive. And both our near term and long term outlook for this portion of the housing market remains constructive. And we are well positioned by our product and brand positions to capitalize on it. Now, throughout ‘21 and continuing today, industry consultants have reported strong builder sentiment for repair and remodeling activity and new construction with a majority of home improvement professionals reporting continued increases in project volume and size. Since 2017 industry consultants report the market has seen average annual residential construction spending in excess of $500 billion with over 75% of these dollars in the repair and remodeling space. New housing starts are still on the rise, and the leading indicators for construction activity are positive with new construction spending forecasted to realize growth over the next couple of years. Our Performance and Essential Materials segment is well positioned to capture the strength that we see in market demand within the vinyls and the polyethylene industry, which continued to experience robust global demand across their end markets. As mentioned, we’re well positioned in the low end of the cost curve with our globally advantaged power and feedstocks as well as through our integrated manufacturing with dedicated offtake that result in lower fixed cost per unit of production. Our portfolio of products and custom solutions continue to enable us to capitalize on the attractive end market trends. Consumer demand and manufacturing growth is expected to remain robust, driving demand for caustic soda, packaging, continual lightweighting of automotive and aircraft, new home construction and remodeling activity. I’m quite excited about the new acquisitions, the future ahead and how we are uniquely positioned to meet our customers’ needs. I’ll now turn the call back over to Albert.
Albert Chao: Thank you, Roger. In 2021, we accomplished a series of meaningful milestones. We have transformed our business under one unified Westlake brand in our two market-leading business segments. We delivered record sales, net income and EBITDA and have developed a platform for growth that drives value for our investors. We expect the economic recovery to continue as forecast calls for solid U.S. and global GDP growth in 2022. As Roger outlined, the U.S. housing, and repair and remodeling markets are both performing exceptionally well, along with a robust forward outlook. The U.S. Census housing data and Harvard’s leading indicator of remodeling activity supports the outlook for continued robust housing construction-related spending in 2022. Our recent acquisitions in building products greatly expand our premium brands in siding, roofing, stone, windows and outdoor living products. The values of these brands provide Westlake the leverage to expand our reach in the market with higher value-added specialty products and to drive strong, consistent earnings power in our Housing and Infrastructure Products segment. In Performance and Essential Materials, demand remains favorable as performance materials used in everyday products such as housing, consumer packaging, healthcare and lightweighting and wind energy will drive demand for our polymer volumes in PVC, polyethylene and epoxy. Increasing industrial and manufacturing demand for essential materials of caustic soda, chlorine and our chlorinated products continue to outpace supply. As a leading producer of these Performance and Essential Materials, we are well positioned in 2022 and beyond to benefit from the strong demand. We continue to focus capital investments in 2022 on a number of accretive projects. This will include automation of certain processes that will enhance margin as well as alleviate the pressure of current labor constraints. We continue to look at opportunities that further our strategy of product expansion and increase our vertical integration and sales channel capabilities across the organization to meet the needs of our customers. Westlake has a strong commitment to sustainability and advancing our ESG initiatives with our announced 20% carbon intensity reduction goal for 2030 from our 2016 baseline. In 2021, we developed and launched a wide range of sustainable products such as lower carbon caustic soda and PVC, vinyl-based solutions for building materials, lower carbon footprint PVC pipe and consumer products using recycled plastic material. Our product innovation pipeline will continue to introduce new and sustainable products to meet the needs of society. We’ll do this with the focus on our core tenants of operating safely, protecting the environment, and delivering valued products that enhance lives of people around the world every day. While we see lingering impacts of labor tightness and supply chain constraints, the macroeconomic backdrop remains favorable in 2022. And Westlake is well positioned to serve the growing needs of our customers across the globe while maintaining financial discipline, which combined with the strong fundamental our business, enables us to deliver long-term value to our shareholders. I would like to remind everyone, we’ll be hosting an Investor Day in New York on Thursday, April the 7th. Steve, Roger and I will be joined by other members of the executive leadership team to discuss the Company’s transformation, strategic direction, financial objectives and initiatives. To conclude my remarks, I want to thank all of the Westlake employees for their dedication and efforts. They made this incredible year possible and position us to succeed in this year and beyond. Thank you very much for listening to our fourth quarter earnings call. I will now turn the call back over to Jeff.
Jeff Holy: Thank you, Albert. Before we begin taking questions, I would like to remind listeners that our earnings presentation, which provides additional clarity into our results is available on our website. And as Albert just mentioned, we will be hosting an Investor Day on April 7th, in New York, which will also be available virtually. Details and other information regarding this event are available on our website. We hope you can join us, whether in-person or virtually. And a replay of this teleconference today will be available two hours after the call has ended. We will provide that number again at the end of the call. Jonathan, we’ll now take questions.
Operator: Certainly. Thank you. [Operator Instructions] Our first question comes from the line of Steve Byrne from Bank of America.
Steve Byrne: Yes. Thank you. I wanted to drill in a little bit on your view for this new segment, so, the one you’re calling HIP. I assume you are not expecting that to remain kind of a mid-teen fraction of segment EBITDA. And what I wanted to better understand is what is it that you see as the primary drivers to accelerate that or close that gap? Do you expect it to be more acquisitions? Do you find this segment in these bolt-ons to be fairly inefficiently run that you could drive synergies? Do you think it’s cross-selling opportunity? And then, the last bucket that I would hope you could rank these would be by building this assemblage of building products businesses, do you think it will give you more pricing power with distributors like home centers?
Steve Bender: Yes. Good morning, Steve. It’s Steve Bender. And I think -- good question. Thank you very much. And I think as you think about this, we’ve just had one quarter of earnings under our belt with the acquisition of Boral closing in October. And so, as we think about the growth of this business, you see I gave some guidance in terms of how we think about the revenue growth opportunities and the contributions it will make as we continue to grow the footprint and the earnings power of this business, we think, is very meaningful. Certainly, the business has grown over time, both organically and through acquisitions. We’ve certainly had a very strong and large Vinyls Buildings Products business before the addition of the business of Dimex, LASCO and Boral this past year. And so, I think the growth position really is, I think, a function of our history. We’ve grown organically as well as through acquisition. The broad offering that you see now in our portfolio under the HIP segment allows us to have a significant amount of geographical coverage across the country as well as strong offerings across the entire spectrum of the housing and infrastructure markets. It gives us a position to have market-leading brands across the entire spectrum that any of our distributors are one step or two step distributors might like to make a selection of. So, we see the opportunity really to grow this business, as I say, organically as well as through acquisition, but a very strong portfolio offering across the entire country. So, it’s a very nice addition. And I think it’s nice to have this business of ours available for your vision to be able to see kind of how it makes a very strong earnings contribution this quarter and we expect going forward.
Steve Byrne: And I’d like to ask you a question about the new epoxy business. Do you see opportunities to back integrate and produce epi from your -- from propylene and chlorine, or do you also see opportunities to integrate downstream into epoxy-based products that you could also drive through this HIP segment?
Roger Kearns: Steve, this is Roger. Basically, because we are so fundamentally integrated into chlorine, I think we do have opportunities for back integration, if needed. We should be able to look at our footprint globally and to continue to grow backwards, if needed. But I think the other reason to have this business is it does give us a completely new area for growth. And downstream epoxy integration, downstream epoxy acquisitions potentially, even, give us new paths for growth. And we think this is a great new platform, especially in the Performance and Essential Materials piece to drive future growth.
Operator: Our next question comes from the line of David Begleiter from Deutsche Bank.
David Begleiter: Albert and Steve, do you -- in HIP, do you expect to grow faster than the market longer term? And if so, what are the key drivers of that market growth expectation?
Albert Chao: Yes. I think we are focused on the business. We have built a very broad-based product lines. We are focused to make sure our integration goes well and the synergy goes well and create more additional values. And we are not really focused on the percent of growth each year. We are more focused on strategically positioning ourselves, delivering value to our customers and create more sustainable products going forward. And if the acquisition opportunities come along that fits our strategy, certainly, we’re very interested, but we’re not focused on keep on growing for growing sake.
David Begleiter: Very good. And Albert, just on polyethylene, the market has changed quite a bit. What are your expectations for potential price increases in February and March?
Albert Chao: Yes. Several of the industry players have made -- announced a price increase of $0.03 a pound in February or March. And I think this is a very strong likelihood that we pass the -- demand are very strong globally, price, even though Asia has dropped from the very peak of last year, but things have recovered. And inventory is balanced. The reason is the first quarter, there’ll be quite a lot of turnarounds coming up, and people are building inventory for the turnaround. So, it seems a bit higher than normal. But because of the turnaround, it’s pretty normal, we believe. And basically, the global demand for polythene is very strong.
Operator: Our next question comes from the line of Arun Viswanathan from RBC Capital Markets.
Arun Viswanathan: Good morning. Congrats on a very strong year. I guess, maybe a similar question on vinyls and PVC and caustic. It seems like there has been some improvement in ethylene. Would that drive a little bit stronger outlook for your PVC products? And then similarly in caustic, there has been some rationalization in the last year of capacity. Do you see that setting the industry up well for continued price increases? And within your own network, is there any debottlenecking that you look to do in chlor-alkali? Thanks.
Steve Bender: Arun, thanks for the question. It’s Roger. Yes. So, what we’re seeing right now is really quite still strong demand in both vinyls and on the chlor-alkali side, so for the caustic piece. So, the industry has price increase announcements of $0.03 out in either February or March. We’re starting to see a rebound in export pricing. So, we think there’s good potential in vinyls. And then on the caustic side, we’ve seen demand there quite robust in Q4. We think there’s still momentum coming into Q1 on the caustic side as well. We continually look at our assets and look for low-cost debottlenecks and where we might be able to squeeze out a bit more. And so, we’ll continue to do that, of course, across the platform of all of our plants. But I think today, we see both, vinyls and caustic with still some nice strong momentum.
Arun Viswanathan: Okay. Thanks. And as a follow-up on epoxy. The epoxy industry looks like it really went through a little bit of an inflection point the last couple of years with margins going back in the double-digit range. Do you see that as kind of structurally an improved business? Should the earnings power of the acquired business that you got from Hexion, should that remain in similar levels that which you reported last year? Thanks.
Steve Bender: Yes. I would say, overall, we believe that it’s structurally improved. I think 2021 was a very strong year. We’ve seen across the commodity cycle. So, I’m not sure we can repeat 2021 in every year, but certainly, there’s a structural improvement in that business.
Operator: Our next question comes from the line of Kevin McCarthy from Vertical Research.
Kevin McCarthy: On slide number 3 at the bottom right, you indicate that the new HIP segment earned an EBITDA margin of 17%. And so, I’d like to ask you, how does that level compare to what you would view as a normal or through the cycle average for the segment? And also, how would you assess the future trend as you continue to integrate the acquisitions?
Steve Bender: So, Kevin, very good question. And as you think about the contribution in 2021, we really only had one quarter for the contribution of Boral’s business. And given the higher value-added product portfolio, it brings to the table, we do expect it to make a very solid contribution. So, these 2021 numbers really only reflect the contributions in the margins for just that one quarter of Boral.
Kevin McCarthy: Okay. So Steve, as you will have a greater contribution from the acquisitions next year, does that exert tension in either direction on the margin?
Steve Bender: And so, the margins really should be -- for the higher value-added portfolio that Boral brings that should make better contributions to the bottom line. Certainly, as we think about it, the broader portfolio they offer in whether it’s roofing, whether it’s decorative stone or windows or other products that Boral brought to the portfolio brings a very nice margin to the business. And so, with only one quarter’s contribution in ‘21, as you’re right, a 17% EBITDA margin for the full year of ‘21. But certainly, a broader, higher value-added portfolio is what Boral brings to the table.
Kevin McCarthy: And then, secondly, if I may, I wanted to follow up on PVC pricing. Export prices were very strong in the fourth quarter. I think they’ve generally come down roughly 25%. But lately, we’re hearing of higher offers for PVC coming out of Asia. So, do you think we’re at a bottom for PVC export prices here in late February?
Albert Chao: Well, certainly, that winter months usually are the weaker months for construction. And usually, spring time, we see demand increase and usually, globally, price tends to move up. I know that last year, we had a very high price. I think export price was $1,800 a ton or even higher and the prices dropped lower. But as I said earlier, prices also recovered. So, we think there is a strong demand globally when the economy -- hopefully, when the COVID-19 pandemic severity eases and the demand economic activity will come back again, I think will be quite strong.
Operator: Our next question comes from the line of Mike Leithead from Barclays.
Mike Leithead: First question is with the Hexion acquisition now closed, there’s been a steep move in epoxy prices over the past year, and I don’t believe we have recent Hexion epoxy financials since maybe the first half of ‘21. So, I was hoping maybe you can give a bit more clarity around the current earnings level of the epoxy business that’s coming in, and how you would expect that to trend into…?
Roger Kearns: Yes. Thanks, Mike. This is Roger. So, we’ve owned it now for three weeks. So, I would say it’s maybe a little bit early for us to have all of the knowledge of the business. But you’re right. I would think the first half of this year, we’re going to continue to see epoxy relatively strong. Second half of the year, we’ll have to watch and see whether there’s a little more capacity coming on. But in general, I’d say we’re three weeks into it. We’re extremely happy to have it in our portfolio today. And I’ll let Steve give a little more details on the value.
Steve Bender: Yes. And so, Mike, I was just going to say that certainly, their financials are out there publicly available for this segment. And so, you can get a sense of kind of how they’ve contributed results historically and through even 2021. As Roger added, we’ve seen a very strong year in 2021 in the epoxy business, and we do see a fundamental shift, though ‘21 was an incredibly strong year.
Mike Leithead: Got it. Okay. And then second, maybe just two questions around the resegmentation. First, do you plan on providing historical pro forma financials for the new segments? And when should we expect them? And then second, how are you planning on helping folks model the new performance in the Essential Materials segment? Because, obviously, there’s going to be a lot of cross currents there between olefins, chlor-alkali, vinyls and epoxy.
Steve Bender: Yes. And so Mike, when we file our 10-K here, you’ll see that we’ve recast business in the two new reporting segments to reflect 2020 and, of course, 2019 -- excuse me, 2021, 2020, 2019. So, you’ll be able to see those numbers recast in the 10-K. As it relates to the PEM business, the modeling and the understanding of our production capacities and the pricing is just as you’ve seen it in the past. And so, this aggregated reporting where we disclose revenues will continue to be reported as they’ve historically done so in the K and the Qs that we report every quarter. So, the transparency we provided in the materials side of the business still remains and you’ll be able to see those numbers again in the K, now that they’ve been resegmented for both HIP and for PEM for 2019 and ‘21.
Operator: Our next question comes from the line of Hassan Ahmed from Alembic Global.
Hassan Ahmed: A question around -- I don’t know whether you guys got a chance to study the latest sort of Chinese five-year plan. There were -- there was a lot of commentary about sort of shuttering subscale chemical facilities, obviously, some ramifications on the olefin side, but also, obviously, a lot of commentary around, curtailments around coal usage, right? And as we all know, the chlorovinyls industry over there is very exposed to coal as a raw material. So, I don’t know what your thoughts are on a go-forward basis, in light of some of these sort of statements made in the five-year plan.
Albert Chao: Yes. This is a very good point. I think the Chinese government’s policies are still being formulated and changing. We understand there’s some people looking for expansions, permits being held up. And because of the five-year plan and the carbon issues as well as pollution. So, that’s dynamic change, we’re watching very carefully, coal prices going up in the -- around the world and China, especially. And it will have a big impact on the competitiveness of the carbon industry. But, I think the environment issue is much more important. And 80% of Chinese PVC capacities are coal-based. So, if they switch or if this demand is still very strong that we’re operating at, what 80-odd percent right now. And if demand continues to grow and with lack of capacity or even shut down some of the noncompliance companies or plants, it will put more pressure on supply of PVC in the world.
Hassan Ahmed: Understood, very helpful. And as a follow-up, Albert, as I take a look at the near-term supply-demand dynamics for polyethylene, there seem to be fairly major divergences between the different grades. How do you see that playing out? I mean, should we expect to see -- historically, obviously, we’ve different grades move pricing-wise in tandem. But do you think with the divergence as the way they are in supply-demand dynamics, do you see different trends across the different rates?
Albert Chao: Absolutely. You’re absolutely right. Some of the commodity grades with new capacity coming out around the world, there’s more pricing pressures, but other grades in polythene, for example, EVA, ethylene-vinyl acetate copolymers very, very tight, demand is very, very high. And even the other copolymers grades in polyethylene is very high. And linear, low-density hexene is very, very tight. The hexene grade is -- the demand is very tight. There’s not much inventory. So, I think grade by grade, it’s different. And the industry seems to, in the past, treat polyethylene the same. And three families, [indiscernible] high density, and then we’re treating the same price movement and everything else, that’s now the case, even within each family, like polyethylene, LDPE with different grades have different dynamics and lot of different dynamics also.
Operator: Our next question comes from the line of Frank Mitsch from Fermium Research.
Frank Mitsch: Congrats on a record end to the year. I wanted to follow up on the Hexion transaction. It actually is adding more to your overall sales than the Boral business. And when we had the conference call on Boral, you guys mentioned some synergy targets there. And I was wondering if you had an opportunity to think about Hexion? And what potential synergies you may be able to take out of that business?
Steve Bender: Yes. Thanks, Frank. It’s Roger. So, we are -- certainly, we’ve got the integration teams working hard right now, looking across the business. I think as we mentioned earlier, potentially, in time, there’s going to be synergy potential in an upstream integration if needed. The other two things that this business is bringing is a much more significant footprint in Europe and in Asia. And so, it’s actually allowing us to look at as far as SG&A synergy type things on how do we service those businesses. And then, the third piece, really, I think from a synergy potential is as we look forward across customers and suppliers, we’ll see on the purchasing side and on the customer side, common customers, and we’re continuing to look and pull that together. But say, we’re three weeks in, it’s a bit early for us to put out a number, but we’re working strong on that.
Frank Mitsch: Got you. And if I could try and drag other numbers out with respect to Hexion, post the transaction. I’m curious as to what the -- what your leverage targets are and where do you see the D&A going for -- on a go-forward basis for Westlake Corporation post this Hexion transaction?
Steve Bender: Yes. And so Frank, we’ll -- if you look at the financials that were in the back of the press release, you’ll be able to see kind of where we are with the D&A going forward. The leverage targets, you’ve seen us consistently speak to the desire to keep strong investment-grade metrics. And so, those strong investment-grade metrics give us the ability to continue to have, I think, good access to capital. As you may look at our financials, you’ll see we have an ability to deleverage not only this year but in the not-too-distant future as well. So, there’s plenty of ability to bring additional firepower from a leverage perspective to the table. As I say, we’ve got an ability to continue to deleverage the balance sheet this year and in the next few years. From a DD&A perspective, we’re running in the kind of the mid-850s range in terms of target at this stage, and that’s on a combined basis.
Frank Mitsch: Mid-850s for DD&A is where -- because I thought I saw it was like 240 for the fourth quarter.
Steve Bender: Yes. That’s right. And so there will be some adjustments when we get into finishing our PPA adjustment for -- the purchase price adjustments for the epoxy business. And so, that’s why I say that we haven’t finished that analysis. As Roger noted, we’re three weeks in. So, we haven’t finished that purchase price accounting. But on a ‘21 basis, about 840, 850. And so, when you think about adjustments we’ll make, it will be slightly higher than the run rate of 240, once we finish closing the PPA adjustments for the epoxy business.
Operator: Our next question comes from the line of Bob Koort from Goldman Sachs.
MikeHarris: Yes. This is actually Mike here, sitting in for Bob today. I was just wondering if you guys could maybe speak to how much cost inflation you saw in the fourth quarter versus the third quarter, and how much we’re able to perhaps cover with price increases versus productivity?
Steve Bender: So from a cost push perspective from inflation, you’ve seen that really across the spectrum. And frankly, those costs were able to be pushed through across the board. You saw that our comments on the fourth quarter showed that we saw a lot of pricing traction in the fourth quarter. And so, our expectation is that as long as we see strong consumer demand for our housing and construction products and for our Performance and Essential Materials products that we do expect to be able to take these price increases that we’re seeing and being able to push those through to maintain margin.
MikeHarris: Okay. Good color. And then also, I think, Albert mentioned that you were continuing to look for a growth opportunity. I guess, I was just curious, do you have the current integration bandwidth to do more deals this year, or will there need to be a pause to ensure that you have successful integration percentage traction from the recent acquisitions?
Steve Bender: Well, it’s a good question. And I would say that certainly, it is busy when you think about the integration activity we have underway. But I would say that if we find the right opportunity for a good fit into the portfolio that there’s ample capability to use the team that we have in any assistance necessary to be able to continue an acquisition, should there be an opportunity that makes sense to us.
Operator: Our next question comes from the line of Angel Castillo from Morgan Stanley.
Angel Castillo: Sorry to belabor the point here on the margin structure for the HIP business, but just wanted to clarify a little bit. You talked about how the Boral acquisition is additive or accretive to the business. So, I think we talked about the numbers perhaps on a full year basis. But, when I look at the quarter -- fourth quarter over fourth quarter, it looks like that business went from kind of 19% margins to kind of 15.5% or so type margins in the fourth quarter of ‘21. So, I was wondering, one, if you could just kind of parse out what are the moving pieces there? I assume a lot of that is just to impacting kind of the percentage number. But if you could just kind of parse that out and give us maybe a sense for how much of it -- what was kind of the benefit from Boral versus what was kind of the underlying legacy business doing? And then, similarly, as we think about the 50% to 60% growth for 2022, how much of that volume is kind of the addition of the acquisitions versus underlying organic volume growth?
Steve Bender: Yes. So, a very good question. So, in the fourth quarter, you’re right, 19% margins in the HIP business. And of course, that included obviously the integration of that business into the portfolio. And so, it did include some nonrecurring costs embedded in that fourth quarter related to HIP. And so, given my comments earlier, we do continue to see the value-added portfolio to continue to be constructive to the EBITDA margins on a go-forward basis. As you think about the opportunity to continue to expand the portfolio, we continue to look for opportunities to build out this portfolio, whether it be organic growth or inorganic growth. The growth in revenue projections that I gave of growing the revenues between 50% to 60%, based on this trailing number is really reflective of the strength we’re seeing in the housing and infrastructure markets. And certainly, the value-added portfolio that we now have with the addition of Boral and LASCO and Dimex added to the underlying capacity that we had in our vinyl building products businesses, really position us very well to participate in what we’re seeing as a really strong infrastructure and housing market. The remodeling repair and the new construction markets remain strong, but so does the tailwind that we do believe we’ll see with the infrastructure bill that was recently passed and the spending that will be associated with that.
Angel Castillo: Maybe just as a quick one, I guess following up to that, how much was the nonrecurring costs? I might have missed if I was to quantify.
Steve Bender: Yes, it was less than $10 million.
Angel Castillo: Okay. And then on CapEx, I think you mentioned some debottlenecking, driving some of the rise, kind of $800 million level of CapEx. As we think about that, I guess, could you quantify, I guess, what areas you’re expanding by roughly how much?
Steve Bender: Yes. As we get further into the year, we’ll give some more clarity on those VCM, EDC and PVC expansions, but there are some nice debottlenecking opportunities that we see that are going to be additive to the overall integration that Westlake is well known for. And so, that 750 to 850 guideline is really to support the existing business to add some of that capacity over the next few years, and to really be able to provide consistent and reliable operations of the business on an ongoing basis.
Operator: Our next question comes from the line of Eric Petrie from Citi.
Eric Petrie: Your free cash flow for the year improved nicely year-over-year to $1.7 billion. Given the guidance that you gave for CapEx and obviously, changes in working capital, what’s a good goalpost for 2022 and going forward?
Steve Bender: Yes. So, as you noted, very strong cash flows in this past year and as we continue to look at opportunities to grow organically and inorganically. We mentioned, we also have the ability to deleverage some of the balance sheet. And of course, we’ve continued to pay, I think, a very nice dividend and continue to look for ways to deploy the capital back through share repurchases. So, as you think about the avenues for deploying that capital, we think there are a wide variety of opportunities to reward shareholders with dividends and share buybacks as well as the opportunity to delever the balance sheet. At the same time, grow the business either organically or inorganically. So, the position that we bring to the table and the strength of the cash flows that we’ve demonstrated and have a positive outlook on, we believe we can continue that opportunity.
Eric Petrie: Okay. And secondly, given your acquisitions in the building products space, what is your balance now on PVC? And how much do you expect to export now versus historically?
Steve Bender: This is Roger. So, I would say, historically, the industry itself, we’ve exported probably a third of the production. Over the last 18 months, quite honestly, the demand in the domestic market has been so strong that in fact, exports are down quite a bit, simply because I think the entire industry is focused on meeting its domestic needs. So, we’re probably today now, let’s say, maybe a half from a level of where we have historically been as far as a percentage of exports. So, we still think the demand -- the domestic demand continues to be strong. And as long as that is, we’ll continue to make sure we’re providing our domestic customers a bit first pick.
Operator: Our next question comes from the line of Jeff Zekauskas from JP Morgan.
Jeff Zekauskas: Thanks very much. When you take product from the Performance and Essential Materials segment and put it in the housing or sell it to the Housing and Infrastructure Products segment, is it sold at market or at cost?
Steve Bender: At market, Jeff.
Jeff Zekauskas: At market. And in the renaming of Westlake from Westlake Chemical to Westlake Corporation, I take it that that means that you’re interested in growing both segments organically and inorganically rather than separating off Housing and Infrastructure Products as a separate business.
Steve Bender: Jeff, there is a strong interest in continuing to grow in both segments of the business. And you’ve seen that through the investments that we’ve made in 2021 and ‘22. So with the addition of the epoxy business in February of this year, and of course, the addition of the three acquisitions in our HIP segment, there is continued interest to really grow the portfolio of businesses we have. And you’re quite right, with the renaming of the company, it’s reflective of the broad, broad portfolio that we now represent with these two business segments.
Operator: Our next question comes from the line of John Roberts from UBS.
John Roberts: Does Hexion still have the site where the U.S. epi plant used to operate? And does Westlake still have the site where Axiall used to operate aromatics. I’m just trying to get at, whether it makes sense to build an integrated epoxy raw material operation with those two sites?
Roger Kearns: This is Roger. No, we do not have the Axiall phenol, aromatic sites as part of our business. So, we don’t have that.
Steve Bender: Yes. That was sold, John, before we acquired the business of Axiall in ‘16.
Roger Kearns: Yes. I mean, I think in our other sites, we have caustic, we have chlorine, we have propylene, we have ethylene, we got the raw materials we would need to be -- back integration if we would like to.
John Roberts: Okay. And then epoxy is a propylene chain chemistry. Any thoughts of going back to cracking some propane? And how would that impact Westlake Chemical Partners, if you were to crack propane again to help hedge the embedded propylene exposure in the epoxy business?
Albert Chao: We have propylene production from our ethane cracking as well. Actually, the amount we produce is pretty much similar to what the epoxy business needs.
Operator: Our next question comes from the line of Matthew Blair from Tudor, Pickering, Holt.
Matthew Blair: You cited a favorable demand environment with encouraging numbers in housing starts and remodeling. How do you think that fares in a rising interest rate environment? When you talk about 50% to 60% growth in HIP, what are you assuming on interest rates going forward?
Steve Bender: It’s a good question, Matthew. And I think when you think about the rising rate environment, certainly, there’s a big difference between the low-single-digit environment we have today and interest rates that might be twice or greater than that of days in the past. And so, certainly, as we think about the rising rate environment, it’s quite clear that people are looking at affordability, but we’re very comfortable that the affordability is not going to be an issue from a rising interest rate environment in the near term. We recognize that the administration, as well as the Federal Reserve are very focused at maintaining a good outlook in terms of the economic approach they take. And while we may see some trends higher in interest rates, we don’t believe that’s going to be a significant, if you will, headwind on starts and permits in the strength of the housing markets.
Albert Chao: Yes. Matthew, also that many of the acquisitions in HIP segment was made in the -- closing the fourth quarter also. So, we don’t have full year results in 2021’s revenue, also part of the growth that we included that Steve mentioned.
Steve Bender: That’s right. We only have one quarter of the results of Boral in 2021. And so, the guidance I provided is reflective of the fact that we only had one quarter of the year in 2021 for Boral.
Matthew Blair: And then just a clarification. The FIFO impact around zero. Was that for full year 2021 or just for the fourth quarter, Steve?
Steve Bender: That’s fourth quarter.
Operator: Thank you. This does conclude the question-and-answer session of today’s program. I’d like to hand the program back to Jeff Holy for any further remarks.
Jeff Holy: Thanks. Thank you again for participating in today’s call. We hope you’ll join us again for our next conference call to discuss our first quarter 2022 results.
Operator: Thank you, ladies and gentlemen, for your participation in today’s conference. This does conclude the program. You may now disconnect. Good day.